Octavio Alvídrez: Good morning everyone. I’m Octavio Alvídrez, CEO of Fresnillo plc. And thank you for being here with us to hear about the Full Year Preliminary Results 2024 in our company. Here with me, we have Mario Arreguín, our CFO; also Tomás Iturriaga, our Chief Operating Officer from the Central Region; and Daniel Diez, our Chief Operating Officer from the Northern Region as well as our people from our London office and some Board members, Charlie Jacobs, thank you for being here. And first, let’s point out to our disclaimer this morning, just quickly to set out the agenda for the day. I will go over with 2024 highlights, just to give you also a brief update on our initiatives on HSECR then Daniel and Tomás will let us know about some audit on the operations. I will continue giving you some brief comments about resource and reserve and exploration update. Mario will come with our financial performance for the year, and I will close with an outlook comments just to take your questions after that. You all recognize the investment proposition of Fresnillo. I believe it continues to be compelling. But let me first go over some preliminary key messages. Where we are now? After some years of operational challenges, the aim and the main objective was to stabilize production across all of our operations. There were some factors due to our operations, the maturity of some of the mine sites, but also some external factors. Among some of those that I can mention briefly, some narrower veins going to the West in the Fresnillo district, made some difficulties on the operational side, increasing dilution, lowering the ore grade. Also, let’s remember that in Herradura, we transitioned from the oxides portion of the ore body into more of the sulphide zone. Also, we added some two dynamic leaching plants, adding cost to the operation at Herradura, while we had some lower grades there. In Ciénega and San Julián, also some difficulties on the operation, especially in Ciénega, in which the mine life was shortening and also lowering or changing the mix of the ore, going from more gold into more silver. And therefore, some of the external factors, of course, we went through an inflationary period in these last three, four years. And especially in Mexico, the labor reform affected some of our business model, in which we were aligned with a lot of contractors. And we needed to include in our headcount some of those workers from the contractor companies. So all in all, played a part in more difficulties in our operations to deliver our results and brought some instability in our expectations of productions. I’m glad to report that this period in which we – our main objective was to stabilize the production has been achieved, and therefore, we have a couple of years hitting our guidance, which is very important. Now the aim is, as has been to control and even reduce cost in – through a set of initiatives across all of our operations, I’m glad to report, and we will see the details that has been achieved as well. That has given us the possibility, the ounces out there in the production side, and the cost is more efficient and – as well as the operations in our mines. So strong cash flows and a robust balance sheet as a result of all of this and the high metal prices, specifically for gold and silver, giving us the possibility to give significant returns to shareholders, we are glad to announce today a one-off special dividend has been declared. Another aim in our portfolio of mines and projects is to maintain resources and continue converting these resources into reserves. This, in the case of silver, is still a pending issue as we will see the details, and – but we will continue to have exploration as one of our pillars, invest in exploration through the cycles is one of the pillars in Fresnillo and that has given us a possibility to create value for our shareholders. Also, I’m glad to report that we have a more positive and constructive approach towards mining by the new administration in Mexico, an openness for dialogue to really understand the issues of the mining industry and in particular, some cases in the Fresnillo portfolio. Glad to report that some of the long-weighted permits have been now being granted for some of the infrastructure pieces around our operations. So we look forward to continue this constructive dialogue with the new administration in Mexico. Of course, we have a portfolio of projects, prospects that we will continue to advance and derisk as we go over the years. So some of the highlights. We continue to be the world’s number one silver producer, achieving 56.3 million ounces of silver. We are also the leading gold producer in Mexico. This, backed by a quality resource, large resource base of just 2.2 billion ounces of silver and close to 39 million ounces of gold. As I mentioned, the aim in this 2024 as we reported at the start of last year and also a midterm was to widen the margins through the initiatives that we can put in place and control, which is basically the cost basis in our operations. As you can see, I mean, that gave us a possibility with the high prices and the ounces being there of giving attractive returns. In total, for 2024, close to $550 million composed of the interim and final dividend of 2024 and the one-off special dividend as well. I think this slide, financial highlights, and Mario will let us know more details about this, reflects also what I mentioned before, the aim of controlling costs, the step of initiatives put in place across all of our operations and giving us very good results, very cash flow – very good cash flow generation and a strong balance sheet. More details on the kind of initiatives that we can report today. Glad to say that during the half interim report, we were expecting – we said we were expecting approximately $40 million in initiatives going through our results. Glad to report that we achieved this. Part of that was after, as I mentioned, the labor reform, in which we increased our headcount, rationalized the contractor base, being more efficient in the coordination of all these resources, along with our own workers in each one of the mines, also some investment that I will say will still be seen the kind of advantages in the operation that we will achieve, specifically the San Carlos shaft at Fresnillo. We finished that, now it’s operational. And we will see the cost advantages that will bring to Fresnillo mine. We continue investing in deepening the Jarillas shaft at Saucito, expected to be completed in 2027. So this kind of infrastructure investment are the ones that compensate the usual trend in an underground mine of increasing cost as we continue to go deeper and also developing along the veins in each one of these mines. Another initiative, specifically in San Julián, we were not achieving the nameplate capacity of the vein system process. And after a careful designed mining plan, we were achieving consistently this higher capacity, and that gave a possibility in San Julián to also give us good results. Specific mention to Ciénega. And Daniel will tell us more about the results we achieved there. But Ciénega in 2023, was one of those operations that was giving us – well, it was not producing enough cash flow to cover their investments, and it was burning cash on the other side. It’s been one of the mines in our portfolio that has given us more results and glad to report that we will continue to see Ciénega as we are also having some preliminary exploration results promising in the Ciénega mine. Award on silver and gold markets, we all know that these two metals play a role in the storage of value, of course, in high inflationary environment, of course, also play a role, specifically gold as it is now. Global geopolitics, the ones that we leave now, tension in the trade front across countries. So all in all, and especially silver with its growing applications on the industrial side, on the appliances, electronics, et cetera, but also on the green energy transition is ever growing, specifically with the photovoltaic possibilities of silver and the solar panels. That with the other part of the function, which is for the last five, six years, no more silver being produced, very much flat and therefore, contributing to a deficit over the last five to six years. Therefore, of course, we will see a good argument to support this higher gold and silver prices. A few words and a few comments in our HSECR initiatives. Health and safety, the most important for our people, to guarantee the integrity of all the workers that collaborate in our operations. As you can see a positive trend going back from 2017 to now through our “I Care, We Care” philosophy and initiatives, also strengthened by the high potential methodology as well. On the environment front, we continue to make advances. We have achieved plus or north of 80% of our demand of energy coming from eolic sources, surpassing even our objective of 75% by 2030. This, we will maintain as we bring some of the projects, the greenfield projects that turn into operations in the following years, that may change and that growing demand for energy may result in fewer percentage coming from these eolic sources. Community relations is very important, specifically nowadays, in order to bring the social license in all of the projects that we are advancing, specifically in Orisyvo. This project will be subject to indigenous consultation. We bring from early days at each one of the projects, each one of the initiatives in terms of community relations that has given us good results in – on the mine sites as well. But this is also the case for Rodeo, Tajitos and also for Guanajuato in which we are having very good exploration results. And with this, I turn your presentation to Tomás Iturriaga in this case.
Tomás Iturriaga: Thanks, Octavio. And good morning, everyone. It’s a pleasure to be here to give you a review of our operational performance during the year. I think as Octavio was saying that overall, we had a strong year in the three mines of the Central region in terms of production, and also, our cost control and operational efficiency programs granted good results as you will see in our financials. And a little bit of detail on the Fresnillo mine, during 2024, we continue working on our operational discipline to improve dilution control. And also on the reduction of the sections of the mine to adjust to the narrower veins that we are encountering a depth for which we receive six pieces of new smaller mine equipment. And we also rehabilitated another six, and these are basically jumbos, scooptrams and smaller underground trucks. And although we made good progress on these efforts, it didn’t reflect yet in the 2024 results. Therefore, we were not able to achieve the silver grades that we guided at the beginning of the year. However, the gold, lead and zinc production at Fresnillo was substantial. So, on a silver equivalent ounce basis, the performance was very strong in 2024, as you can see. This strong production, along with our focus on cost reduction, and efficiency and our disciplined approach to sustaining CapEx deployment, enable us to capture the increased margins driven by the stronger metal prices year-on-year. During the last Q of 2024, we finished commissioning the deepened section of the San Carlos shaft, and the MD5000 tunneling machine was relocated and is operational again. So, we expect the benefits of these key infrastructure elements along with an increased silver grade and tons mined out for a stronger 2025 at the Fresnillo mine. In Saucito, I want to come back to all of you that we are very pleased with the turnaround that we have achieved in this mine. As you know, we were coming from a very difficult 2021, 2022, even in 2023, we still had some issues where Saucito was highly impacted by the labor reform at one point and then by our own safety and operational issues and challenges. But I’m very pleased to share with you that our team at site has done a remarkable job, getting things under control at the mine. So this operation is now safe and producing a respected levels, again, as seen in the strong production of gold and silver in 2024. The deepening of the Jarillas shaft is progressing well at Saucito, and we will keep focused on maintaining the good safety and operational performance to secure another strong year at Saucito. Finally, on to Juanicipio, which continues to be a good success story. Very sound production results. The mine continues operating with good results and positive grade reconciliations, which allowed us to exceed the silver grade guidance for 2024. The better-than-expected grades at Juanicipio, compensated in full the shortfall at Fresnillo, which speaks very positively of the strength of our portfolio of mines. The first full year of operations at the mill went well. We didn’t encounter any unexpected issues. So during the year, we were able to refine or fine-tune the metallurgy and other process variables. As grades are expected to decrease going forward in Juanicipio, we are nowadays exploring additional veins, new veins, new system veins that could potentially improve the life of mine grade profile at the mine. After receiving pending environmental permits last year, our tailings dam expansion project is advancing as planned. And also our underground conveyor belt project is underway at Juanicipio. So in general, a sound year in the central region in terms of production. And as we deliver tonnes and ounces and as we focus during the year in cost control and margins, we were able to capitalize on metal prices. This focus will continue in 2025 as well as a deliberated effort to locate and develop brownfield opportunities to improve the production profile in the following years. Thank you and I’ll pass it now to Daniel Diez.
Daniel Diez: Good morning, everyone. Thanks, Tomas. On the northern region, key highlights to begin with. Octavio mentioned that in the beginning of the presentation, what the purpose was for all of us during this year, and that was about maximizing returns from our assets that require a disciplined strategy asset by asset. So what we will discuss now is a little bit of what was the strategy put in place for each one of them. In the case of Herradura, it was about, to begin with, discipline, operational turnaround and how to unlock value from this asset. That is one of our main assets in the company and prepare the foundations for growth. And you can see the results, and we’re very pleased to report that this first stage, as we call it, of the operational turnaround has been very successful during the year. If you recall, the first half of the year was difficult in terms of production. We had weather events at the beginning. We have some delays in mine development. So the results were not very solid on the first half. However, the turnaround and the recovery during the second half allowed us to close what we think is a very successful year, beating the production levels of previous year, beating our internal guidance in terms of production, in line with our costs in the budget, slightly above the previous year. But when you analyze the trend, of course, during the year, we had a reduction between 15% and 20% from the beginning of the year to the end. So in general, it’s a successful story in Herradura. The productivity levels were increased. Cost control, again, in terms of capital allocation, discipline in operational, eliminating expenditures that were not required has been very successful, and that triggers the results that you can see. We also progressed with the reassessment of the strategic mine plan for Herradura. We reassess the future of the mine and implemented the first stage of the operational excellence plan. And that is starting to deliver results now in 2024, and we are starting with the second phase in 2025. And I will comment a little bit more about this strategic plan for the Herradura district in a few minutes. The assessment has been validated in terms of the potential of the district. And that’s very important. We have the main pit, in Herradura, that is the main source of production. However, we validated the potential of the underground mines, both in the relatively short term and in the long term with two different deposits that will be part of an integral operation in the future, having underground and open pit at the same time. So we expect to announce some preliminary results in the second half of this year about the potential of the district. And also one of the key challenges for us during this year was the transition of, as Octavio mentioned, is the transition between the oxides part of the deposit to the sulphides was a challenge. Recoveries were an issue. However, we started preliminary test work that validated the potential of another process for the sulphides. We are starting an industrial test work right now, and we expect to have very positive results out of that. That will translate into lower cost and higher productions during 2025 and the years onward. So all-in-all, very positive outcome from Herradura. And we think we are very well prepared for the next step for this asset, that is the growth in the district. Let’s remember that this asset has a life of mine until 2040. So a lot of potential there to keep improving and growing. In the case of Ciénega, Octavio mentioned, it’s a positive story about the turnaround in the operational discipline and cost control basically coming from a difficult year in 2023. In 2024, the delivery on cost reduction, efficiencies in contractors basically allowed us to have a healthy year in terms of the economics. Again, productions above the previous year, both in gold and silver. The cost decreased significantly. You can see cost per tonne decreased to $120, that is the levels that we expect. But on a cash cost and all-in sustaining cost basis, the decrease was significant, putting Ciénega again into levels that allow us to have a profitable operation in a future until the end of the life of mine, that is 2028 so far. Good news about it. We are having good exploration results during this year. That’s a positive in Ciénega. As you know, it’s an operation with 30 years of life so far. So we thought it was limited in terms of potential to find new sources of ore to extend mine life. We’re having good results, and we are very confident that we will be able to extend the life of mine beyond 2028. So a positive outcome for Ciénega. And finally, in the case of San Julián, there was a different challenge because San Julián was about being able to make a successful transition between the operations with the two plants that we have in there, the DOB and the vein system into just the vein system. That is what we have in terms of resources and reserves for the future. The results are very promising, very successful. You can see – we had – if you remember, we announced that we have geotechnical issues in the DOB that shortened the mine life. It was expected to finalize during 2024, but we needed to finalize before and the amount of reserves minable were lower than expected. However, implementing something that Octavio previously commented. Also another operational excellence program, specifically focused about optimizing the throughput in the plant allowed us to increase significantly the result in the production from the vein operation that, on a consolidated basis, allowed us to beat our internal production guidance in terms of production, gold and silver, cost below our expectations in all-in sustaining cost and cash cost basis. So the more important outcome out of this is that we are confident now that with the operations of the veins – only the veins plant, we have a sustainable operation, profitable operation in the long run. Our current life of mine is until 2029. However, exploration in San Julián is giving us very promising results. So we’re also confident about extending the mine life in the operation. So in general, in the Northern region, I will summarize the focus on cost control, the focus on operational excellence across our operations have been delivering results, as you can see in the consolidated results for the company. Back to Octavio.
Octavio Alvídrez: Thank you, Daniel. Thank you, Tomás. Just some remarks on reserves, resources and exploration, glad to report that this year, we will report proven reserves across all of our operations. The kind of studies that we were advancing in order to support this category of proven resources, reserves are there. We concluded them, still in progress as we have some more pending issues still, but glad to report the proven reserves category in all of our operations. Also, in this process, we have made a more conservative approach to resource and reserve calculation. And therefore, you will see on the resource case, I mean, we were growing the resource base on the silver and the gold side slightly. But on the reserve case, the decrease of 7%, as Daniel mentioned, some of those were in Ciénega and San Julián, as I mentioned, with a more conservative approach. Some positive details that you will see in the integral or the overall resource and reserve statement. Fresnillo growing in resources and also in reserves as well. Saucito also making good progress there. But all in all, I mean, glad to report proven reserves back in our portfolio of mines. As I mentioned, exploration continues to be one of the pillars in the value creation for our company. We believe that the finding an ore body, being able to develop it, being able to construct it and finally operate it along the metrics or efficient metrics that we have in our company is a process that gives us more possibilities of value creation. And among those, Orisyvo, continue to advance in the prefeasibility studies, also some permitting process going on and as I mentioned, the social license within communities as well. In Rodeo, we finally had an agreement with the communities and Ejidos there in order to continue our exploration efforts, turn those inferred through exploration resources to indicated and continue in months to come with the prefeasibility and feasibility stages. In Guanajuato, it is the great story of exploration there, great success, a historic district, silver producing district from the old days. We even have an operation from the old days in the area. This is in a different area. And those exploration success at the one – the ore bodies, the veins as we like it, high grade in silver with gold contained as well. You will be able to see the exploration success from one year to the other, from – the end of 2023 to the end of 2024. And Tajitos is one of those ore bodies within, I would say, the Penmont cluster that could benefit from the infrastructure and synergies in the area, still being explored, continue to advance there. We have to realize in this timeline of the projects that the permitting process has delayed, the expected time to continue advancing this project in average a year, 1.5 years, depending on the project. So with this newer timeline, the aim is and supported by some of our potential in some of our operations to bring additional brownfield ounces, more specifically and more visibly in the various underground project in Herradura. You may recall that some years ago, we were producing approximately 15,000, 20,000 ounces per year from this project. We closed it. We were going to study in more detail the possibility to do a more mechanized and more efficient operation, and that’s something that we will continue to do so. And you see it reflected in this timeline. Herradura underground is just to mention and support also what Daniel has mentioned, Herradura has a potential, not only on the current open pit as I mentioned on the various underground project for some years, bringing additional ounces to what you see in the projection of the production profile for gold, but also when we finish the open pit, there is potential at underground. And we will continue to evolve in some other brownfield possibilities in the rest of the mines. A breakdown of the operation, the exploration investment that we do across all of our portfolio. As I mentioned, there’s been a pillar in our company of value creation and is the case in 2025, we are increasing a bit the exploration on greenfield projects, trying to advance and continue growing our resources and the growth pipeline in our company as well. And with this, I turn to the financial section with Mario presentation.
Mario Arreguín: Thank you, Octavio. This mic is working?
Octavio Alvídrez: Yes.
Mario Arreguín: Yes, okay. If you don’t mind, I’ll just do my presentation here. It’s great to be here in London, especially after four consecutive sunny days, which is very unusual here. So – and this goes along with the financial results, which we believe are very, very good. As you can see in the outlighted yellow lines where we show all our different profit levels, gross profit grew by 147% compared to last year. Profit – operating profit grew 563%. Profit before taxes, 552%. But when you get down to net profit, you see a decrease of 21%. And I will explain that, and the impact that certain non-cash items had on our income statement. And EBITDA, of course, increased by 136%. Overall, we believe this to be very good financial results for the year. But let me start with gross profit. As you can see in the second column from right to left, in terms of gross profit, we had an increase of $743 million. If you move up that same column, you will see that most of that came out of the increase of adjusted revenues for $770.9 million. So the question is how much of this is due to prices and how much of this is due to volume. To analyze that, I would like to move to Page 26. And as you can see here, of the $770.9 million, $148 million resulted from the increase in volume. So approximately 19% of that increase was due to volume. As my colleagues reported, we had increases in basically all the metals that we produce. So clearly, it was a good year from the operational point of view. But when you look at the prices, well, they represented 81% of the total increase in revenues. Most importantly, of course, silver and gold. The price of silver increased by 25%, which resulted in the benefit of $300 million. And also the price of silver increased by 23%, which represented a benefit of another $300 million. So with that, you get an idea how much of this was due to volume and to prices. If you can go back to Page 25, please. Okay. The other line item that I would like to talk about is production costs. As you can see, we had a small reduction of 2.6% or $41.8 million. And to explain this variation, I would first like to mention on Page 27 because we get this question a lot. Yes. And here again, we show the composition of our consumables basket. So this is the way we measure our cost inflation, defined as the increase in unit cost of all our consumables. And as you can see, inflation is pretty much subdued, I would say. We only experienced a 0.15% inflation. Of course, this is a combination with the exchange rate. Remember, some of our around, I would say, 35% of our total production cost is paid in pesos. And we finally saw a devaluation of the Mexican peso after two or three years of very strong performance in the second half of the year, we saw the peso devaluating. Not a big devaluation. Only if you look at the average exchange rate for the year, that was only a 3% devaluation, but that helped to get to this 0.15%. If we take away that devaluation effect, inflation would have been 2.3% as we point out in the footnote in the bottom part of this slide. So with that in mind, if we move now to Page 28. This is a rainbow analysis where we show on the far right on the green bar, this is where we represent the decrease in adjusted production cost of $41.8 million. On the negative side, you see the red bar there, which gives us the effect of inflation, excluding the benefit of the devaluation. So this is only 2.3% inflation that we saw, that had an effect of $31.6 million. But if you look at bar number 4, that was pretty much compensated or offset, like I said, by the 3% devaluation on the average exchange rate. I think the important point that I want to make with this slide has to do with the efforts that were done at the operating level in terms of cost cutting and efficiencies, which resulted in that blue bar that you see there right next to the green bar, which had a benefit of $40 million. So a great effort on our operational side, which is reflected in lower costs. So in summary, if I may move to Slide 29, and you look at gross profit, again, the green bar represents the $743 million increase. You can clearly see from this graph that a lot of it had to do with the first bar with the higher metal prices, $626 million, but also the combination of higher volumes and better ore grades, which are represented in bars two and three, those had a benefit of $127 million and $51 million, respectively. We spoke about cost-cutting and efficiencies, which represented a benefit of $40 million. The devaluation of the Mexican peso, which I spoke about, almost $30 million. And even the treatment charges have been aligning favorably to us, as you know, they’ve been coming down. So that represented a benefit of $20 million. On the negative side, if you look at the first red bar, from right to left, of course, you will see that depreciation was a bit higher compared to last year, $122 million, and that was due to the fact that Julian, as you know, the disseminated ore body part of that mine, was closed. So we had to accelerate the depreciation of those assets in the past two years, and that’s why you see that increase in depreciation. If we quickly move back, please, to Page 25. So, so far, we have covered a growth project. I think it’s worthwhile mentioning also that the – on the administrative areas, we’ve also made efforts to decrease the costs. And as you can see, in terms of corporate and administrative expenses, we had a reduction of 14.7%. So we are also cooperating with the cost-cutting measures. You will see that in 2024, we spend a little bit less in exploration, 10% less. So with that, I think we’ve covered the main parts of the operating profit, which again increased quite a bit. So now we move on to the non-cash items that had an important impact during the year. Starting with the Silverstream, which you are all very familiar with. And as you know, and we announced this, I believe, in November last year, and again, in our production report in January this year. Penoles notified us that the Sabinas mine, as you know, this Sabinas mine is the one behind the production of the silver – related to the Silverstream was experiencing certain challenges, operational and financial challenges. So now we’re working together with them. We form working teams, both on the operating side and also on the financial side. We were able to agree on what we believe is the expected production going forward, which is the basis that goes into our model when we value the Silverstream. Remember, we value the Silverstream with mark-to-market basically using the future production. And the cash flow that is generated by the Silverstream, as you know, is the market price less the strike price that we fixed for the Silverstream, which is about $6. So this transaction has been very, very profitable for us for the last 17 years. That’s when it began. So the difference between the market price and the strike price has been very, very favorable to us, multiplied by the volume. So we adjusted the volume based on this new expectation. But more importantly, we adjusted the discount rate at which we discount the expected future cash flows. The discount rate that we use was 20%, basically, to take into account the possibility that Peñoles might not be able to fully meet the terms and conditions as they currently stand in the Silverstream agreement. So we discussed this with our auditors, of course. And we believe that 20% was the right rate to use given the information that we currently have. So when you combine all of that and run the model, that’s how you get to this loss that we’re showing you here. Another very important item that I would like to talk about, and this is the reason why when you see profit before income tax increased by 500% and then you go down to net profit and it decreased. The best way to explain that if we go to Slide 30, please. Remember that the exchange rate, the spot exchange rate, not the average, but rather the spot exchange rate has an important effect. And that’s why I decided to include this particular slide here because as you can see in 2023, if you look at the income tax expense line in 2023, you see a positive number of $205 million. I’m sure you remember back then, we reported that this was a very unusual event, which gives you a profit after taxes higher than profit before taxes extremely unusual. And the reason for that was the impact of the spot exchange rate prevailing in 2023, which was the $16.89 as you can see in the bubble here, which compared to the exchange rate at the beginning of 2023 of $19.36. You can see clearly an important revaluation of the Mexican peso equivalent to 12.8%. And that alone had – considering the effect on the tax value of assets and liabilities, that alone had a $214.5 million effect. So of the $205 million positive that you see there, $214 million came from the impact of the exchange rate, revaluation of the Mexican peso on the tax value of assets. And what happened in 2024, exactly the opposite. In 2024, you had a beginning spot exchange rate of $16.9 and a final exchange rate of $20.26, which translates into a 20% devaluation, beginning to end. And again, the devaluation had an effect on the tax value of assets of $300.2 million out of the $390 million income tax that you see in that line. So you have this volatility generated in our net income just because of the behavior of the Mexican peso. And that’s why we’ve been very clear in saying that when we calculate the dividend, we adjust for this sort of variations. We don’t want to give unnecessary volatility to our dividend payments. With that, I think we can move very quickly to cash flow, which is on Page 31. I’m starting with the first column. On the bottom part of the first column, you can see that we basically closed the year with a cash balance of $1.3 billion. Great to see that we had net positive cash flow generation. Our cash – our beginning cash balance was $534 million, which meant $763 million cash increase, which I’m sure is a very, very positive sign. Main source of cash, of course, first line, the cash that was generated by our operations of $1.55 billion, an increase of 140% compared to last year. Main uses of cash, a bit of that went into work – financing working capital with the increase in the metal prices, even though we maintain the same number of days in terms of receivables, the fact that we had higher prices naturally increases your working capital. That was the main reason behind that increase. And CapEx, purchase of property, plant and equipment, $370 million; dividends that we paid throughout the year, $78 million; and of course, loans basically that were paid back to shareholders of the Juanicipio mine. As you know there, we have a partner, Mag. The last contributions that we made to the project 3 years ago were done through debt, not through equity, and now we’re starting to pay back that debt to the partners. So basically, I think this is what I wanted to highlight from the financial results. Of course, during the Q&A session, I’m more than happy to answer any questions that you may have.
Octavio Alvídrez: Thank you, Mario. Shall we go back to the – let me see where is that one, right there, the outlook, just to conclude the presentation. Here, our guidance for 2025 and the expected production for 2026 and 2027, yes, softer than 2024, but sizable production in terms of gold, silver and when we add lead and zinc as well. It’s one of the largest on the silver side, no doubt, and a sizable production of gold as well. And that’s why and it’s not included here, the brownfield additional ounces that we will try to bring in the following – in this period, of course. A word on CapEx, you will see 2024, lower CapEx number that is – or was the result of some of the permits, especially for some infrastructure pieces across our mines and the permit not being granted for that. That’s why, and as I mentioned, those permits are flowing now, and we will start building some of the tailings storage facilities, and that’s why a rebound on CapEx for 2025 and onwards, 2027 going to a more normal levels of the one that we achieved in 2023 around $485 million, $500 million, that should be a normal sustainable CapEx. And in these numbers are included some of the permitting process that we are doing for our greenfield projects, some of the land acquisitions, for there some of the initial studies in terms of conceptual or scopings or pre-feasibilities as well. And just to conclude, before going to your questions, we will continue in 2025 operational stability, hitting the expected production. It’s a must, maximizing the potential of each one of our mines across our portfolio. The ounces will be there. We expect the prices still to continue being strong. And the aim also is to maintain or even widen a bit our margins through the cost control and reduction with initiatives, additional initiatives. As I mentioned, some of the investment in infrastructure will continue to give us that possibility, specifically in the Fresnillo mine with the operational stage at San Carlos deepening project. With that strong, we’ll continue generation of cash. Of course, continue with the normal policy on dividend and return to shareholders. We will continue to explore and advance our greenfield projects, very excited about Guanajuato, but also derisking or continued derisking Orisyvo, metallurgically, I mean, which was one of the key issues there, promising results as well, and we will continue to advance our portfolio with Rodeo and Tajitos and, of course, continue with all of our ESG sustainability initiatives. And with that, I mean, we can go back to your questions. Dan Major?
Q - Dan Major: Thanks. Dan Major from UBS. Yes, a couple of questions. The first one just on the cost trajectory of the business, encouraging when we look at your reported copper – sorry, gold or silver equipment costs, AISC and total cash costs coming down. Can you give us some guidance on the trajectory for 2025 with respect to either adjusted production costs or those unit cost metrics? And then just a second follow-up to that, and I guess I’ve asked this one in the past, but why can’t you provide group cost guidance on a gold and silver equivalent basis?
Mario Arreguín: Thank you. In terms of what we’re expecting for 2025, let me start with the easy part. The Mexican peso, like I said last year, during the second half, started to depreciate. But in 2025, we will see a more impact on that because, like I said, the average exchange rate last year was 18.3 pesos [ph]. Currently, the exchange rate is around 20.8 pesos [ph]. That translates approximately into a 13% devaluation. If the exchange rate stays around here, and this is a very volatile variable, who knows what’s going to happen with the peso, especially given all this tariff, wars, and et cetera. So I’m not even going to get into that, but I don’t see it coming down. That’s for sure. So at least I believe we will see the benefit of at least a 13% devaluation of the average exchange rate. We’re expecting our wages in peso terms to go up by around 7% this year. We’re currently in negotiations with the union. 7% is about two points above Mexican CPI, but given the fact that the devaluation we expect is going to be higher than the increase in pesos, in dollar terms, you would actually see a decrease in labor cost, if that is the case. So I’m just giving you in peso terms, it would go up 7%; in dollar terms, labor will come down a bit. On the other items, operating materials, et cetera, we’re not expecting any increases unless these tariffs that might go on, I’m not sure we can – I have a clear vision on that in terms of the impact in the unit pricing of our operating materials. But outside of that, we’re not foreseeing any important increases in unit price of our intakes. And in terms of cost-cutting measures and efficiencies, my two colleagues here are going to continue making efforts to reduce that. So all in all, we’re expecting again another decrease in our product – adjusted production cost.
Dan Major: Just a follow-up on that. I mean, I guess, looking at the FX, would it be fair to assume sort of low mid-single-digit decline percentage-wise in adjusted production costs if the FX stays where it is? Yes? Is that reasonable?
Mario Arreguín: Right.
Dan Major: Okay. And then, yes, any sort of logic on the unit cost guidance?
Octavio Alvídrez: We continue to study the case – Dan, we continue to study the case, giving the possibility all the way from the operations, I mean, the visibility of the different costs Mario’s team is developing, we are about to complete that project that will give not only – I mean, all the way from a supervision up to the mine general manager, possibility to really have more visibility on the cost structure. And after we test that software in that program project, we may be able to give you a guidance on cost. So everybody in the company has that visibility and that possibility to control cost as well.
Dan Major: Okay, thanks. And maybe just one follow-up, if I could. On the project pipeline and capital allocation going forward. If we look at the project pipeline, I mean, the projects in there have been around largely since the IPO, and it doesn’t sort of feel that they’re moving forward rapidly. You gave a special distribution this time. You’ve historically talked to a $1 billion cash position as being the threshold. Should we assume that if you’re above that level, you will pay additional cash out in special dividends?
Octavio Alvídrez: Well, as we said, this is a one-off special dividend. Of course, we continue as we do every year, evaluate the position of the company, the expectations of metal prices, production and of course, investment sustainable – sustaining CapEx as well as brownfield, as I mentioned, and greenfield CapEx. And after that, we do the evaluation and see those possibilities. But for the time being, it’s a one-off.
Dan Major: Okay, thanks.
Octavio Alvídrez: Jason?
Jason Fairclough: Thanks. Jason Fairclough, Bank of America. A couple for me. So first of all, on the efficiency or the operational efficiency cost cutting 40 million, so I see two COOs here. So who did what out of the 40?
Mario Arreguín: I would say half and half.
Jason Fairclough: But joking aside, where are we on that journey? So I mean you’ve done 40. Is there another 40 to go? Is there another 400 to go? Like how do we think about the magnitude of what you think is possible?
Daniel Diez: Yes. Of course, the first initiatives gives you the largest results initially. So after that, I mean, it’s more difficult every time to continue cutting, that’s why we mentioned some specific infrastructure that we will see the results as it is the case in the San Carlos deepening shaft instead of hauling the ore through the ramps and everything, and we will be able to have more efficient and cost-effective hauling of the ore all the way to the mill. But we will continue. I mean, we have room still on the contractor rightsizing for our operations as well as some model as we get more efficient. We’ve talked in the past about the large pumping station also in Fresnillo. So a set of different initiatives. That trend will continue, probably not at that large result as we had.
Jason Fairclough: Just a follow-up, if I could, and maybe coming back to one of my bugbear sort of questions. I think there’s some new reserves, but I haven’t actually seen the statement yet. How have you adjusted your assumed reserve grade at Fresnillo, if at all?
Mario Arreguín: Grade decrease with lower cut-off grades. So we’re down to the reserve is at 231 grams per ton.
Jason Fairclough: So that’s still well above what you mine?
Mario Arreguín: Yes.
Jason Fairclough: You comfortable with that…
Mario Arreguín: Well, we continue working on dilution control, as I said, and then reconfiguring the mine. And also some of the tons that are marginal in the reserves terminal are making the mine schedule at higher prices. So it’s a multifactor. But the challenge, the actionable item is dilution control. And you should see an improvement this year.
Jason Fairclough: Okay. Thank you.
Octavio Alvídrez: Thank you, Jason. Next?
Alain Gabriel: Thank you. Alain Gabriel at Morgan Stanley. A couple of questions firstly on the production profile, which appears to be shrinking every year and your reserves are not really growing as much as they should underpin growth in profile. Do you think you’re spending enough on CapEx and exploration for the business overall, if we think about the long-term trajectory? And does the problem go away if you throw more capital at it?
Mario Arreguín: We are spending enough on exploration. And that has two component. One for extending the mine life in our operations. And glad to see, I mean, the top number, which is the resources staying there, especially in a year in which we’ve concluded this process of strengthening and being a more conservative and back to proven reserves here. So I think the result from now is about continuing that process. And that first component is also complemented by the greenfield exploration. That is 100% in resources. So one part of the results is on the operations and the other one on the greenfields. On the operations, I believe we are investing enough. We should be more accurate in terms and more efficient in our exploration programs in order to upgrade our resource base in the mines. I think that’s a pending issue. But the amount of investment is correct. And the other part on the greenfields – on the contrary, I think, we have been rationalizing and being more efficient, especially on the operation for the projects Rodeo, Tajitos as well, Orisyvo is 100% explored. And you will see some growth in some other projects like Candameña and Lucerito, which have some potential to be included in the following cycles in our portfolio of promising projects. So all in all, I think we are at the right number.
Alain Gabriel: Thank you. And my second question is, are you able to give us an update on the regulatory framework in Mexico when it comes to taxation and permitting? Any big changes that you expect to happen from this point onwards that could impact your business?
Mario Arreguín: For the federal administration [indiscernible]
Octavio Alvídrez: Well, as I mentioned, I was – I’ve been very glad to see that the federal administration is very open to get to know in more detail the issues of the mining industry and even in particular the issues at each one of the sites. We were four, five weeks ago in a journey with some of the heads of the under Minister of Mines there visiting different operations among those that in our portfolio, they visited the Juanicipio underground mine, but they went and visit an open pit as well. They visited an open-pit project and also a reclamation site so the whole cycle there. And that also shows, I mean, their interest in an industry that can provide job creation, economy for the country, which is needed, especially nowadays. Yes.
Alain Gabriel: Thank you.
Mario Arreguín: And as I mentioned, I mean, the permits have been already flowing.
Marina Calero: Marina Calero from RBC. A couple of questions from my side. First, on Herradura. Given the changes that you have implemented to the mine plan, how do you expect on sustaining cost to evolve? And the second question is on Silverstream, you mentioned operational and financial challenges. Would you consider a change in the terms of the stream to help the operator?
Octavio Alvídrez: Daniel?
Daniel Diez: Thank you. Compared to what we presented now, next year, as mentioned, we had a first stage this year on operational efficiencies and operational excellence program that delivered some results. We have a second phase now. We expect some decrease in the overall cost for the operation. However, as you saw, we have a softer production. So in terms of all-in sustaining cost and cash costs, we expect to have similar levels to what we have this year, all in all.
Octavio Alvídrez: On the Silverstream, Mario?
Mario Arreguín: Yes. Silverstream question, I would say that in terms of where we are right now, the – let me see. You were asking?
Octavio Alvídrez: We would consider changing the terms?
Mario Arreguín: Yes. We’re considering all the alternatives. We’re open to all the alternatives, including, of course, changing the terms. Obviously, the one that is more obvious, I would say, is perhaps changing the strike price. But again, that’s an alternative. We’re also analyzing other possibilities.
Octavio Alvídrez: Yes. This process has been a study in detail, very in-depth due diligence going all the way from the resource and reserve statement and how they calculate all the way to the mining sequence, to the business of infrastructure, investment that they need. We are close to conclude probably within month-and-a-half to months in order to have a final decision on that.
Krishan Agarwal: Hi. This is Krishan Agarwal from Citigroup. A follow-up on Herradura. If I remember correctly, I mean there was a talk of now strip ratio normalization at the mine from the currently high levels and then the cost coming down in the medium term. Would you mind discussing some kind of update on that process where we are in terms of normalization? And that cost outlook for, say, next three years for the mine?
Daniel Diez: I’m sorry, the normalization process of the operation?
Krishan Agarwal: Strip ratio.
Daniel Diez: Strip ratio. Okay. Part of the new mine plan that we developed, the optimization was about rationalizing the overall levels of movement in the mine. In terms of the strip ratio, Herradura is very volatile because it depends a lot on cutoff grades, but also in the recoveries that we have from the different materials, right? What I commented about the sulphides process and increasing the recoveries of the – what we have currently have its run of mine processing of sulphides. We are evaluating and having very good results about crushing and getting basically doubling the recovery. That would trigger necessarily a decrease in the unit cost, but also decrease in the strip ratio. How much? We are assessing that still, but we expect for sure a decrease.
Krishan Agarwal: So is it safe to assume that this year, you’re guiding for a flat cash cost, but then going forward, in say, 2026 and ‘27, there’s a possibility of cost coming down at the mine?
Daniel Diez: That is our expectation.
Krishan Agarwal: Okay. My second question is on electricity prices. There’s a considerable reduction in the unit prices this year. And then you’ve also disclosed that the renewable is already like 80% of the mix. Do you mind disclosing as in – what are the terms for the renewable electricity? Are there any kind of a longer-term PPAs? And then are there any fixed prices? And broadly, is the renewable cheaper versus the conventional energy you were using earlier?
Octavio Alvídrez: Mario?
Mario Arreguín: I’m not exactly sure if I understood the question.
Krishan Agarwal: The renewable electricity, which you are using, is it cheaper versus the conventional energy you’re using?
Mario Arreguín: Oh the electricity, okay.
Krishan Agarwal: Yes.
Mario Arreguín: Okay. Yes, definitely. As you know, we’ve been sourcing our electricity more and more from wind mills. And that has obviously translated into better pricing for us. So a sister company of the group, not Fresnillo Group, are the owners of those wind mills. So we’ve been definitely benefited by that. And I would say around 85% of our total source is related to that at this point in time.
Krishan Agarwal: And are the prices fixed for such sourcing?
Mario Arreguín: No, not fixed, because it will depend in the case of wind, in particular, it’s not always operational. So it depends on the efficiency based on the weather and wind. But on average, I think we will be pretty much stable.
Krishan Agarwal: Thank you.
Patrick Jones: Patrick Jones, JPMorgan. Just a quick follow-up on the topic of the new administration. There was obviously about 12, 18 months ago, a lot of discussions about the possibility for amending the constitution for banning new open pit mining. Where do you think that kind of sits with the current administration? Is it something they still think about? Or is it basically off the agenda at the moment?
Octavio Alvídrez: The legal process continues there. I mean for the time being, it is there. Also as a positive, I would say, that they are not really talking loudly about this ban. I believe they have realized that, that ban will have an effect, an important effect in some of the majority of the projects on the mining side that are being advanced and developed, and they want to better understand what kind of impact they may have. But also in that, they do have the possibility to approve on a case by case the open pit project that may be brought on stream or trying to be brought on stream. So that’s a good possibility. And I think it talks about the more positive approach of this federal administration towards mining.
Patrick Jones: Great. Thank you. And maybe just another question. Given the strength of the balance sheet at the moment, has kind of M&A come up more on the agenda? Is it something you’re thinking a bit more about at the moment? And also just on that vein, do you think that the ownership structure on Juanicipio is optimal at the moment?
Octavio Alvídrez: Well, as we reported in past times, we are analyzing on a more systematic way of possibilities of M&A. But I think it will follow the metrics that we follow for our own projects. It has to be accretive, value creation, and we haven’t up to now not found that project or operation on the M&A side. We also compare it to our own portfolio or our growth pipeline through our exploration. And the case is in a company with sizable production already as it will be in the following years. We are not in a hurry of some of the companies that face really a lower production in the following medium or long term. So we can really evaluate those possibilities in detail and depth.
Patrick Jones: Great. Thank you. Maybe just another question on juanicipio. You mentioned there’s a few different projects going there, the tailings expansion and also the conveyor belt. Can you just talk about what does sort of enable longer term? Does that basically just keep the output – those throughput levels flat? Or does that give some further optionality either medium term or beyond the guidance period?
Tomás Iturriaga: It’s sustaining capital, so it’s about just making it more efficient the mine, but not increasing the production.
Patrick Jones: Okay. Thanks. And then just one last one. You mentioned the adjusted production cost guidance for 2025, that’s assuming a flat peso. But can you just give any comments on any kind of sensitivity to oil price?
Octavio Alvídrez: Mario?
Mario Arreguín: Again, in terms of unit cost increases of our intakes, we’re not expecting important movements there, except if this new tariffs impact the unit price. And I think the most important part there in all-in sustaining cost is the efforts that will continue in terms of being more efficient and cost cutting. Other than that, as you know, included in the all-in sustaining cost is the sustaining CapEx. We believe that’s pretty – it’s going to be pretty stable. It’s not going to change a lot. So hopefully, we’re looking at a scenario where all-in sustaining cost is stable.
Octavio Alvídrez: Some questions online, please.
Operator: We have a question from the line of Cody Hayden from Berenberg. Your line is open.
Cody Hayden: Good morning and thank you for taking my question. I have two, if I may. First is on taxes. So cash taxes paid on the cash flow statement is lower than the tax and income statement. I was hoping you could explain this in a bit more detail and if the cash tax delays expect to come back this year? And then second, just on dividends. Given the special dividend announced, are special dividends going to be more of a theme going forward? Or is there any consideration to change the dividend policy given the strong cash flow generation of the group? Thank you.
Mario Arreguín: Let me start with dividends. Our intention is to maintain our policy. And as, our policy is to pay out 50% of our net income back to shareholders and reinvest the remaining 50% in the company. That’s been the case since we did the IPO 16 years ago, and we believe that is going to continue to be the case. But in the past, we paid special dividends when we have large cash balances or we don’t foresee like its happening right now, important investment in growth projects for the next four years. As, we’re not envisioning major investments in CapEx other than sustaining CapEx. And we see clearly that we will be able to generate an important free cash flow level during those four years, and those are the sort of circumstances that lead us to decide to pay a special dividend. And like Octavio said, we will continue to evaluate that as we move year-on-year. So that possibility will always success.
Cody Hayden: Understood. That’s very clear.
Mario Arreguín: I’m not understood your tax question.
Cody Hayden: Yes. Just regarding the cash taxes on the cash flow statement, it was quite lower than what is the income tax on the income statement. So I was just wondering if you could maybe provide a bit more detail on that and if the cash tax delay as expenses come back this year?
Mario Arreguín: Well, if you look at taxes paid in the cash flow statement, those are basically provisional tax payments, which typically lag because that – those taxes are paid based on a factor that is defined based on the previous year’s profit levels and taxable income. So those provisional taxes again, year-on-year, depend more on what taxes you paid compared to the previous year. So they’re a bit lagging behind. But the statutory tax rate is always 30%, and we pay that on – based on each individual entity. And we’re not expecting any tax increases at all. I hope that answered your question.
Cody Hayden: No. that’s understood. That’s clear. Thank you very much. Appreciate it.
Operator: [Operator Instructions] There are no further questions on the phone. So I’d like to hand back.
Octavio Alvídrez: Thank you very much, Dan.
Dan Major: Just a quick follow-up. Just so on the Silverstream, Am I right in saying that the only – the change in the value is the change in the discount rate. You haven’t changed the structure of the agreement at this point. And what’s embedded in the guidance you’ve given in the presentation for the expected contribution from the stream?
Octavio Alvídrez: No, we have not changed absolutely anything in terms of the structure of the Silverstream. You’re right, the main change was the discount rate like I explained, basically due to that uncertainty and the volume, which is also a very important variable that goes into that.
Dan Major: And what are you factoring in your guidance for the stream?
Octavio Alvídrez: For this year?
Dan Major: Yes, or across the profile you show on your presentation?
Octavio Alvídrez: Well, for this year, we are factoring in a production similar to last year’s level of silver, which was close to 2 million, 3 million ounces.
Dan Major: 2 million to 3 million?
Octavio Alvídrez: Yes.
Dan Major: Okay. Thanks. And just one very last modeling question. What’s your expected depreciation in 2025 following the end of the accelerated depreciation of the disseminated ore body at San Julian?
Octavio Alvídrez: We expect that to be stable now. I can give you a more precise number in terms of what we’re expecting for this year. If you bear with me just a second. But it will come down in 2025. Here we are. So depreciation, we expect it to be around $550 million in total, which is lower than the $619 million that we reported this year.
Dan Major: Super. Thanks a lot.
Daniel Diez: One more on the line, please.
Operator: You have a question from the line of Juan Pablo Contró [ph] from Scotiabank. Your line is open.
Unidentified Analyst: Hi, everyone. Just a follow-up on the M&A front and considering this robust project pipeline you provide us, should we be aware of any upcoming partnership or any joint venture on any specific project in Mexico or outside Mexico?
Octavio Alvídrez: Well, we have evaluated both possibilities, of course, in Mexico with the previous, I would say, situation in which permit was very difficult to obtain. We knew some projects or companies trying to probably not prioritize those projects in Mexico and that presents an opportunity. We evaluated those areas but also in some other jurisdictions as well. As I mentioned up to now, I mean, we have not been able to locate something that would create or accretive or create value in our company. Idea would be, given the fact that our greenfield projects come in the next four to six years to find something very close to production. But as I mentioned, is not been the case so far.
Unidentified Analyst: Okay. Thanks.
Octavio Alvídrez: Thank you.
Operator: There are no further questions from the lines. So, I’d like to hand back.
Octavio Alvídrez: Okay. Well, thank you very much for being here. And if any further questions, of course, we have a London office here, Gabriela Mayor might – we’ll be here to answer any further doubts. Thank you very much. Bye now.